Operator: Good day. Thank you for standing by. And welcome to the Gates Industrial Corporation Second Quarter 2021 Earnings Call . Please be advised that today's conference is being recorded .  I would now like to hand the conference over to Bill Waelke, Head of Investor Relations. Thank you. Please go ahead.
Bill Waelke: Thank you for joining us this morning on our second quarter 2021 earnings call. I'll briefly cover our non-GAAP and forward-looking language before passing the call over to our CEO, Ivo Jurek, who will be followed by Brooks Mallard, our CFO. Before the market opened today, we published our second quarter results. A copy of the release is available on our Web site at investors.gates.com. Today's call is being webcast and is accompanied by a slide presentation. On this call, we will refer to certain non-GAAP financial measures that we believe are useful in evaluating our performance. Reconciliations of historical non-GAAP financial measures are included in our earnings release and the slide presentation, each of which is available in the Investor Relations section of our Web site. Please refer now to Slide 2 of the presentation, which provides a reminder that our remarks will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed in or implied by such forward-looking statements. These risks include, among others, matters that we have described in our most recent annual report on Form 10-K and in other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings call, if at all. I would now like to turn the call over to Ivo.
Ivo Jurek: Thank you, Bill. Good morning all, and thank you for joining us on our second quarter earnings call. Let me begin with an overview of our performance outlined on Slide 3. I am pleased with our strong execution in the face of a challenging operational environment. Our business continued its excellent start to the year, delivering another quarter of above market growth that resulted in record quarterly revenue and profitability. The underlying demand and order trends across both of our segments are robust and our book-to-bill ratio remained above 1% exiting the quarter. The industrial end market contributed most significantly to our growth. And our investments in innovation and organic initiatives are progressing nicely, resulting in further market share gains across our portfolio of products. These strategic growth initiatives are in their early stages and the pipeline of new opportunities is increasing as is the potential to continue to drive growth moving forward. The headwinds we highlighted on our last call remain present and have created quite complex operating conditions. Inflation persists throughout our supply chain, impacting not only raw materials but also freight. We are not expecting the inflationary environment to ease in the near term and have been proactive in responding with broad pricing actions, maintaining a positive price/cost position in Q2 and the first half of the year. In addition to inflation, the availability of certain raw materials, as well as logistics capacity and labor in certain geographies remain tight. We have been agile and forward leaning going to great lengths to navigate these operating challenges in support of our global customers' needs. Despite these complexities, the execution by our team was outstanding and drove our strong incremental margins. The combination of increasing profitability and free cash flow generation has allowed us to deleverage the business at an accelerated pace. As a result, our net leverage is presently in the range we previously said as our midterm target. This, of course, provides us with increased optionality, particularly as it relates to future opportunities to accelerate our growth strategies. As a result of our performance to date and the supportive trends we are seeing in our end markets, we are again raising our full year guidance, which Brooks will provide further detail on later in the presentation. With that, let's move into more of a detail. Moving to Slide 4. Total revenue of $915 million came in at the top end of the guidance we provided, up 58.7% year-over-year including core growth of 51%. This growth was broad based across segments, end markets, channels and regions. We saw particularly strong performance in the diversified industrial, off-highway and mobility and recreation end markets. Our automotive OEM business also recovered nicely in the quarter. However, we continue to strategically reduce our participation in this channel which was down to approximately 10% of total company sales in the first half of the year. Sales into replacement channels also grew significantly year-over-year with the most notable growth coming from industrial end markets. From the visibility we have, channel inventory levels remain low relative to the demand levels of our distribution partners as seen. Our second quarter adjusted EBITDA of $216 million came in above the high end of our guidance, representing growth of 160% compared to the prior year and margin expansion of 920 basis points. The margin expansion was a result of productivity initiatives, continued benefits from our restructuring activities and efficiencies from higher volumes. Despite the challenges associated with the volume growth as well as significant inflation and the availability of production inputs, we delivered a core incremental margin of approximately 40% on a year-over-year basis, a strong result against the complex operating backdrop. Our adjusted earnings per share were $0.42 in the quarter, a significant increase compared to the prior year period, driven by our substantially higher operating income. Slide 5 and the segment highlights. We clearly saw very strong performance across the board, with core revenue growth of approximately 51% in each of our segments. Looking back at the second quarter of 2019, which is perhaps a more meaningful from a compare perspective, our current results reflect solid core revenue growth of 15.7% in Power Transmission and 4.6% in Fluid Power. Across both segments, our above market growth has been driven primarily by new products, the performance of our organic initiatives and secular trends in our end markets. Looking at Power Transmission. The diversified industrial and mobility and recreation end markets performed exceptionally well for us, supported by a number of positive secure trends. Specifically, the demand for our products in the diversified industrial end markets is benefiting from accelerating industrial automation trends in manufacturing facilities, warehouses and distribution centers, driven by an increasing focus on efficiency and uptime. Our chain-to-belt initiative also continues to benefit from this trend with key design wins within the quarter in warehouse automation, chemical processing facilities, food and beverage applications and e-mobility. We continue to see strong business performance for this initiative with revenue growing over 60% year-over-year. In Fluid Power, which we believe is somewhat trailing the overall market recovery seen in Power Transmission, our focus on innovation is not only delivering significant growth but also driving key design wins across a broad range of applications, including mining, agriculture and pulp and paper to name a few. The strong growth we are seeing in this segment is driven by accelerating adoption of our new products, then we anticipate this trend continuing over the mid term. With respect to year over year profitability, we delivered adjusted EBITDA margin expansion of nearly 1,000 basis points in Power Transmission and 800 basis point in Fluid Power. Our current margin also reflect solid improvement over the second quarter of 2019 with Power Transmission recovering earlier and benefiting from higher volumes, as well as exit from some less profitable first-fit business. In summary, we are seeing excellent performance in both of our segments while managing through the complexities of the present operating environment. Our teams are working tirelessly to support our customers and the demand they are experiencing. With that, I will turn the call over to Brooks for additional color on our results. Brooks?
Brooks Mallard: Thank you, Ivo. Now moving on to Slide 6 and the regional breakdown of our core revenue performance. We delivered strong double digit core growth across all regions with emerging and developed markets seeing very similar performance. In Europe, the strong growth was driven primarily by first-fit channels, particularly from mobility and recreation, off-highway and automotive applications. Sales into replacement channels also continued their strong growth trajectory with both industrial and automotive end markets delivering mid double digit growth. North America growth was also led by first-fit channels, particularly in mobility and recreation, off-highway and on-highway applications. All of our industrial end markets, including energy, experienced solid double digit core growth. The automotive replacement channel continue to accelerate sequentially and posted high teens year-over-year growth. China, having experienced the most significant impact from COVID-related shutdowns in Q1 of 2020, began to return to a more normalized year-over-year growth in Q2 of 2021, in line with our expectations. From an end market perspective, we experienced the most significant growth in diversified industrial and on-highway applications with the automotive replacement channel also performing well. Lastly, our businesses in South America and East Asia and India performed very well, while we manage through the impact of shutdowns across India for roughly half the quarter. We saw solid double digit core growth across all end markets, in particular strength in both on highway and off-highway applications as well as in automotive replacement. Moving now to Slide 7 and some additional detail on key balance sheet and cash flow items. In the second quarter, we generated strong free cash flow despite the build in working capital from normal seasonality and the strategic procurement of raw materials. Net leverage for the quarter improved to 3 times from 4.8 times at the end of last year's second quarter, placing us in our targeted midterm range of 2 times to 3 times. We also repaid an additional $70 million of secured debt at the end of the second quarter with our total debt reduction now approaching $400 million since late December, all while maintaining a strong liquidity profile. Our return on invested capital was a strong 21%, representing a year-over-year increase of 630 basis points. Moving now to Slide 8 and starting with our updated full year outlook. Based on the current healthy trends in our business, we are again raising our full year guidance after a significant increase in our first quarter earnings release. Our updated expectation is for core revenue growth in the range of 20% to 22% and an adjusted EBITDA margin of 22.2% to 22.8%. Our guidance includes the expectation that we will remain price cost positive on a dollar basis for the full year and reflect strong incremental margins despite the significant inflation and challenges with material and logistics availability. We continue to expect CapEx to be in the range of $90 million to $110 million and free cash flow conversion to be greater than 80%, resulting in further improvements to our net leverage. net leverage. For Q3, we expect revenue to be in the range of $845 million to $865 million and adjusted EBITDA to be in the range of $183 million to $196 million. This reflects continued strong performance and a return to more typical seasonality. The significant inflation, notwithstanding our adjusted EBITDA guidance, represents year-over-year growth of 35% and margin expansion of 250 basis points at the midpoint. We currently believe the challenges in the balance of 2021 are manageable. However, the dynamic operating environment, in addition to the potential for worsening COVID situations in certain regions, has the potential to further affect us, our customers and our suppliers over the balance of the year. With that, I will turn it back over to Ivo for some final thoughts.
Ivo Jurek: Thank you, Brooks. Moving now to the summary on Slide 9 and a few key takeaways. We delivered outstanding second quarter results in an environment that presented unique operational challenges. We anticipate a strong second half of the year, capitalizing on the underlying demand and favorable trends in our end markets to drive further progress with our initiatives and new products. We are closely monitoring supply chain bottlenecks, as well as COVID-related challenges faced by our suppliers and customers. While the environment remains dynamic on a number of fronts, we are executing well, demonstrating strong business fundamentals and operational agility to support above market growth. We successfully managed the large increases in volume, navigated supply chain and labor complexity and offset inflation, delivering strong incremental margins. Our multiyear effort to focus resources on more profitable, higher growth industrial end markets continues with our exposure to automotive OEM applications, now down to approximately 10% of company's total revenue. Finally, our cash generation and increasing profitability has allowed us to continue to deleverage the balance sheet, providing more flexibility around opportunities to selectively accelerate our growth strategies beyond our organic growth targets. I am very proud of our teams and the effort they put forth globally to deliver these outstanding results, and I'm excited about the opportunities we have ahead of us as well. With that, I will now turn the call over to the operator to begin our Q&A.
Operator:  Your first question comes from the line of Andy Kaplowitz from Citigroup.
Andy Kaplowitz: Ivo, so at the beginning of this year, you guided to Gates potentially outperforming its end markets by mid-single digits. But this quarter in Power Transmission, you recorded low digits above market growth and Fluid Power was high single digits. So can you give us a little more color on the base drivers of the above market growth? And given you just said you think you are still early in ramping up your organic initiatives, do you actually think Gates could continue to drive above market growth at these types of rates?
Ivo Jurek: I mean, we believe that the above-market growth is being driven primarily by the investments we have been making in our commercial initiatives, product innovations, and I've spoken about that for a while. And frankly, they are enabling us to take more share gain across both of our segments and end markets. We believe that the underlying market conditions are also aiding the adoption of our new products, which supports the acceleration of our organic initiatives that we have highlighted a number of calls before. Many of our initiatives and new products are focused primarily on applications and end markets that we have described having very strong secular tailwinds. The value prop is there, our products are key in adopting those new technologies. I spoke about our focus on chain-to-belt. I spoke about the strong performance on personal mobility. And I think that both of these came very, very strongly in Q2 and we believe they have a good runway for the future. So we're quite excited about the continuation of these positive trends. And we believe certainly that we can very consistently continue to not only outperform nicely in '21, but over the longer term be able to demonstrate consistency of growing our business kind of 2% to 3% above the market as we have highlighted as our midterm objective.
Andy Kaplowitz: And then can you give us a little more color to the puts and takes you're seeing reflect your margin expectations going forward? It looks like you're still close to 40% incrementals for the year and maybe a little lower than that in Q3. You mentioned that you're still expecting the price inflation dollar for dollar. So how much margin dilution is that versus the 200 basis points you gave us last quarter? And then it does look like at least at the high end of your margin range you're assuming incrementals resume more of a normalized range in Q4 into that 40% range. So does that suggest confidence that Gates should be able to deliver incrementals into that 40% range in '22 even if inflation persists?
Brooks Mallard: So we're very pleased with our incrementals overall. If you look at our normalized volume incrementals in Q2, we're kind of in the low to mid-40s range. So I think 43% to 44%. And then we had about 400 bps of incremental headwinds, about half of that came from increased SG&A for variable comp and different kind of customer related accounts that have really recovered with the increase in volume. And then about half of that came from price cost and then FX dilution on the overall incrementals. So even with the big volume gain, we were very pleased with the overall incrementals. If you look at the full year, the full year, we're going to see about 900 bps incremental dilution. So our core kind of normalized volume incrementals are going to be in the high 40s, almost 50% and then you got that 900 bps and it's kind of split evenly between FX, price and inflation and then the increased SG&A for variable comp and kind of return to norm on some of those customer-based SG&A costs and logistics. And so we feel really good about where our incrementals are coming in. We're kind of right in the middle of the fairway on what we said with the elevated incrementals and we feel good about 35% to 40% going forward. And then just real quick on Q2, you have to remember we had really elevated volume growth year-over-year. And that also makes those incrementals a little bit tougher when you got so much volume flowing through. And so in the back half of the year, those normalized incrementals are a little bit closer to those elevated numbers we talked about.
Operator: Your next question comes from the line of Nigel Coe from Wolfe Research.
Nigel Coe: Just wanted to follow up with that last question. So when you define price/cost neutrality, are you wrapping in all the inflation aspects including freights and -- or was it just the raw material aspect? There's no sort of clear definition out there. So just that would be helpful. And then on the price equation, maybe just compare and contrast OEM pricing versus what you're seeing to the channel. And again, the spirit of the question really is that, oftentimes, there's a lag on OEM pricing. So just wondering if you're seeing that lag there?
Brooks Mallard: So when we think about inflation, we think about really the overall per unit cost both for raw materials and for freight. Now what we don't include is we don't include labor inflation, and we don't include maybe some of the inefficiencies you see in the supply chain with constrained freight and things like that. But we just look at the cost relationship of it year-over-year. So materials, logistics rates and then we compare that to price. What was the second part of your question again?
Ivo Jurek: And you're right, the the OEM pricing activities always lags a little more the distribution channel partners pricing but we've been pretty forward leaning. We've seen the inflation and we were worried about the inflation. We spoke about it, frankly, from Q1 earnings call about the elevated inflation that is creeping in and we have taken pricing into the OEMs as well. And we believe that we are reasonably well positioned to be able to offset it, albeit it is lagging slightly behind the channel pricing that we have done.
Nigel Coe: And then Ivo, you mentioned -- you touched on channel inventories remain very low. Maybe just any more color there, how low is low? Did they get lower during the quarter? And are you kind of in a position where you can't fulfill demand, i.e., your partners want to restock but the supply chain constraints, any color, that'd be great.
Ivo Jurek: Based on the point of sales data that we have -- and again, I’d remind everybody that our point of sale data is most strongly correlated in North America at this point in time, which is also our biggest market. All of the indicators that we track would suggest that the inventory levels are quite low compared to the demand levels that the channel partners are seeing presently. Well, all of the commentary that comes from our customers, again, whether or not it is a commentary that comes from our channel partners on the distribution side or frankly, even from the OEMs, they all would like to have more inventory and they all struggle to keep up with the demand patterns that they have for our products from their customers. So I would tell you that everybody would like to have more inventory. We are doing the best that we can to keep up. I've also mentioned that we did have a very strong book-to-bill for the second quarter in a row. We had terrific quarter, again, very strong performance. We are not a backlog business but we did build backlog and that would indicate to you that people would like to get more than we can supply.
Nigel Coe: I hate to ask one more question, but just on that point about building backlog, and does that maybe suggest that 3Q could be stronger than normal seasonality? I mean right now, your guidance embeds normal seasonality for 3Q, but just curious if that's a possibility?
Ivo Jurek: I mean, I think that what we need to take into account is that we came in from a very strong baseline in Q2, the record level of revenue for us, very great results with strong incrementals. We are executing on our playbook and there is more demand out there than we can fulfill. But I also want to remind everybody that there's tremendous amount of headwinds that we are still dealing with, and it's particularly on our customer side just as much as it is on our side. So although they like to have more products from us, if they cannot get semiconductors, I mean they'll manage their bills just as much as they would like to build more products out there. So yes, demand is strong, supply chain challenges, labor challenges, logistics challenges. And frankly, although we want to move beyond COVID, COVID is still here. It's problematic. And we dealt with it in Q2 in India. It was by far worse than what we've anticipated. I've highlighted that although our automotive first-fit business posted a great result in Q2, it was frankly a little worse than what we've anticipated with our conservative guidance. So there's still lots of uncertainty. Taking into account the seasonality, I believe that we have taken that into account and we have a very strong guidance for the second half of the year.
Operator: Your next question comes from the line of Deane Dray from RBC Capital.
Deane Dray: One of the positive surprises in the first half has been your debt leverage getting paid down faster and hitting your target really six months ahead of time. Is there an element in your capital deployment that you can now pivot to more playing offense? Is this M&A opportunities? What's the funnel look like? And are there internal growth investments that you might be able to step up as well?
Ivo Jurek: Absolutely. But again, I remind everybody that our priority remains deleveraging balance with, frankly, doing the right thing for the company over the long term and supporting over the long-term growth for the company. We have very strong set of organic opportunities, as I have highlighted on past year and half or so and we're excited about those opportunities. And we will be prioritizing funding those projects. They, generally speaking, return the best investment on -- the best returns on that investment that supports those. That strengthening balance sheet, of course, does create optionality to accelerate our organic strategies through M&A. The pipeline of our opportunities out there is pretty active. However, I don't think that it will surprise you, the seller expectations in general are pretty stretched. And we will be very disciplined and selective in adding capability to our portfolio through M&A, but those opportunities remain very strong. They are all on the table and we will be very focused and very disciplined in creating long term shareholder value.
Deane Dray: And then just second question, it's another one of these positives happening faster is this whole chain to belt conversion, maybe I was guilty of thinking this was going to be on-the-horizon secular trend, but it's really happening near term. And is there any -- and it's becoming a needle mover. Can you size for us like what it could contribute in your mix next year, maybe on a percent? And just to clarify, does the chain-to-belt win, does that show up in new product introductions and is it part of your share gains calculation as well?
Ivo Jurek: Of course, we are very excited about our chain-to-bill opportunities. And I think a couple of years when I shared with the investment community the opportunity, we felt that it's a very strong opportunity for us to drive organic growth over a very long period of time. Despite the fact that we are doing really, really well, and it's becoming a nice addition to our revenue generation and market share gains, particularly in Power Transmission, we believe that it will take more time and it is a long-term opportunity for growth. And I'll remind everybody, we believe that that has added kind of $4 billion to $6 billion to our TAM in a very near adjacency to what we do for our customers and how we solve our problems. We believe that it will be adding some incremental opportunity for us to deliver strong 2022 but we will come back to '22 during our Q4 earnings call during our normalized cycle. And it does show in the diversified industrial and in personal mobility, in particular, and I think that both of those are very nicely and performing very nicely for us. So clearly, great opportunity for the company. It's supporting our growth anticipation short term, but it will be a very long history of runway that we see for us to continue to execute on.
Deane Dray: Just to clarify, does it show up in your calculations of new product introductions?
Ivo Jurek: It does, Dean.
Deane Dray: Yes, I would think it would. I just wanted to be sure. Okay.
Operator: Your next question comes from the line of Mike Halloran from Baird.
Mike Halloran: So following up a little bit on an earlier question. Obviously, still above 1, talking about good internal momentum. Inventory is still low from a channel perspective. That bouncing out or normalization doesn't seem to be embedded in guidance currently. Maybe just some thoughts when you talk to your channel partners or you look at your own supply chain, when do you think that starts balancing out and normalizing a little bit, and just how you think demand cadence is here and into next year?
Ivo Jurek: I mean there's still incredible amount of challenges that we are dealing with, predominantly associated with some labor availability in specific regions, particularly in North America and US. And raw material supply is very, very challenging, it's resins, precision -- high-precision steel to name probably the two of the most challenging sources of raw materials for us. And also, look, I mean I frankly visited the Board of Longbeach to try to understand what's going on and there's a pretty significant congestion there as well. So on occasions where you can get the raw material, you got it from point A to point B you can't quite get it from the port to your source factory. So we believe that it will take some time to work itself through. We certainly believe that those challenges will remain front and center with us through the second half of the year. And we anticipate that maybe 2022 we should start seeing some easing of those impediments.
Mike Halloran: And then a follow-up. You look at the auto OEM exposure, decent trends certainly but went out of your way multiple times to talk about how you keep seeing that reduction here as a percent of total revenue. So kind of a twofold question here. One, does the strength that you're seeing in the broader businesses as well as in that specific segment, does that give you greater optionality in the short term here to maybe be more aggressive on reducing exposure? And then secondarily, is there a point where you think that balances out? And how should we think about the timing around that, or maybe some sort of other kind of indicator that we should look at?
Ivo Jurek: Mike, I think that I would like to address this next time we get in depth -- next time we get together and we provide the investment community and analyst community with an update on kind of a capital base update. So we will address that there more in depth and breadth. But we've taken a pretty strategic pivot to reduce our exposure to the OEM segments of automotive. We have been executing on that over three years since we became a public company. That exposure is down from about 15% of total company revenue during the IPO to about 10% now. That being said, we're also quite excited about some of the electrification trends there going on. We have had a number of new design wins again in the quarter. And so we're not in a bad place. But we believe that over the long term, automotive first-fit is going to remain kind of in maybe high single digits as a percent of total company revenue. And we are pivoting towards being much more focused and continue to execute well on our replacement side of the automotive business and that’s where we are making substantial investments. We are building strong portfolio of EV coverage of the VIO, the vehicles-in-operation coverage. And so overall, I think that we like where we sit and we will be measured in how we continue to execute on the desired outcome of where we sit with automotive OEMs.
Operator: Your next question comes from the line of Jeff Hammond from KeyBanc Capital.
Jeff Hammond: I just wanted to pick on a couple of trends that I see. One, it seems like Europe is recovering a lot faster than North America. And I just wanted to kind of get a little better sense if it's just a more robust recovery or more outgrowth or better supply chain dynamics? And then if you can just frame how you're thinking -- how you see like the PT recovery versus '19 versus the Fluid Power? It seems like PT is running ahead. I don't know if that's just where we are in the cycle or if there's anything else else to read into that?
Ivo Jurek: We are very pleased with how our Europe business has performed. We believe that our execution leaning forward and then frankly, as early as Q3 of last year in prepositioning ourselves with raw material availability and staying operating has played dividends and has accelerated our growth there with market share gains. So we are very, very pleased with that performance. Going back to your second question about FP not growing as quickly as Power Transmission versus the 2019 comp. Look, we view that our Fluid Power business is still in the very early stages of recovery. We are seeing very nice improvements in recovery across the end markets. But frankly, not all of those markets are recovered fully yet. I can maybe list one being energy as an example, which, although improving it is still quite significantly below 2019 levels. And from that chart that we shared, I think, at the beginning of the year, you know that energy was about 7% or so of our total company revenue. So it was not de minimis in size. And from all the data that we see, we are still seeing that, again, very early innings of the impact that the innovation is bringing to a foray. What we -- from everything that we see, we believe that we are taking a nice amount of market share and markets are poised to continue to recover in FP.
Jeff Hammond: And then the last one, I think you called out labor availability as a bigger issue in the US, and I think your hope was you'd start to see some improvement there. Is that starting to get any better or is that still a big problem for you?
Ivo Jurek: Labor markets remain very, very tight, but I don't think -- I think that you guys may be sick and tired of hearing it from all the reporting companies. But we are staffing for the best of our abilities, and we're having some success in being able to do that versus where we perhaps sat in kind of April, May of the past quarter. They have undertaken very significant recruiting campaigns to fill our vacant positions. And I think that this is going to remain as long as I think the COVID conversation is front and center, I think lots of the states are already starting some of the supplemental benefits that are out there. So we should start seeing a little bit less of a headwind from those. But I think that the COVID conversation is still impacting people's willingness to come back to work, particularly in the US.
Operator: Your next question comes from the line of Jerry Revich from Goldman Sachs.
Jerry Revich: Ivo, I'm wondering if you can talk about how much capacity you folks have to ramp up production into '22. Obviously, big changes in the manufacturing footprint. If we're looking at just your ability to ramp up in your supply chain, how much could supply of your products increased '22 versus '21, assuming semiconductors and other areas are not a constraint for your customers, just so we can get a sense for the manufacturing footprint today versus the last cycle?
Ivo Jurek: Jerry, I will stay away from '22. Again, I think that we will provide a better update on our standard cycle in end of Q4 -- on the Q4 earnings call about '22. But we've made pretty significant investments during the last cycle. We feel good where we sit with capacity. We also anticipate and hopeful that we will see the raw material supply chain shortages kind of work themselves through. As I discussed, most of these are in resin and precision steel areas that's the biggest impact on us and on our manufacturing. And both of these are significant components, particularly on the Fluid Power side, where we believe that working through the second half of this year, we should hopefully start coming out of the situation on that. And that would position us reasonably well for taking advantage of what '22 brings to foray for us. Again, we're very constructive on the end market. We really don't control some of the other raw materials that our customers are managing through. And again, I believe that all customers are more in a boat of feeling better about '22 than they have so far in '21.
Jerry Revich: And maybe to ask that in a different way. Is it fair to say that across your footprint, you're pretty much running at two shifts today? So if we're talking about ramping up production, we need to get more production out of the same shifts into next year or beyond?
Ivo Jurek: Jerry, you know that we, generally speaking, do not comment on our capacity utilization because of the complexity of various plants, the locations, geographies, labor availability and so on and so forth. But we're running in a good place and we feel optimistic about the market recovery as it progresses.
Jerry Revich: And lastly, your margin performance this year is really impressive in a challenging environment, you might essentially get to a new cycle time and just year one of recovery. I'm wondering, as you folks think about the opportunity to expand margins cycle over cycle, how concerned are you with parts the footprint essentially overheating kind of like the overruns that we saw at the tail end of the last cycle? How confident are that we can sustain being 35% to 40% incrementals even as we're getting to a pretty high level of demand in parts of the footprint?
Ivo Jurek: Many compliments there, Jerry. So hopefully, I can capture all of them. But let me start with -- look, we've done lots of work since becoming a public company in realigning our footprint, building around innovation and frankly, positioning the company to being able to manage decrementals and incrementals in the ranges that we have discussed. So we've spoken about the decrementals being in the 30 percentile level and the normalized incrementals kind of at 35% to 40%. And certainly, we're delivering on the incremental side despite the very significant challenges that we are dealing with. And that should reinforce the set of opportunities that we see ahead of us and hopefully, give investors level of confidence that our strategy is taking hold. I would probably stay away from trying to address what's going to happen in the future. It's very, very difficult, very dynamic operating environment, I think, for everybody. I think that we are well positioned. Our operating and commercial teams are doing an outstanding job in doing everything that's possible to support our customers’ needs and delivering strong returns for our shareholders. So we feel quite good about that. And maybe the last piece that you have had in there. Look, a while ago, we have put a mid to long term objective of kind of delivering that $4 billion, 24% plus EBITDA target out there. And we still believe that we are on the target to be able to deliver that over the midterm future and so we're quite optimistic about what we have done with the business. We are quite pleased with how our teams are executing and we'll continue to report as we progress through into the future.
Operator: Your next question comes from the line of Julian Mitchell from Barclays.
Julian Mitchell: So maybe just trying to keep my questions a little focused. China growth, I think, was the high teens in Q2 after low 70s in Q1. Maybe help us understand what are you seeing across the two segments there right now in Q3? And what you're dialing in for China growth in the second half of the year within your overall global guidance?
Ivo Jurek: Our China business is performing extremely well as well and we are executing on our growth playbook. The industrial markets are performing well there, particularly on highway and diversified industrial applications, which have been a very significant area of focus for our teams there and for our initiatives. We continue to see very strong growth in replacement channels in both the automotive and industrial end markets. So we're quite pleased with what's happening in China. And I'll remind everybody that the China came into COVID first and came out out of COVID first. So the normalization of our growth rate in China is, it's good to say, frankly. I know that perhaps everybody would like to see strong numbers, those are very strong numbers that we have printed taking into account more normalized performance. And for our second half implied performance for China is normalized growth rates in the high single digits to low double digits.
Julian Mitchell: And then just a second one, the tax rate sort of embedded in the adjusted EPS calculation moves around a fair amount. Maybe help us understand what's the second half adjusted tax rate we should expect and any sort of medium term color on that adjusted tax rate, please?
Brooks Mallard: So we had some favorable adjustments in Q2. I think that's going to lower our overall tax rate that we're thinking for the full year more to the 19% to 21% range as opposed to typically we'll see kind of 22% to 22%, or low 20s. For the longer term, we expect that low 20% rate to hold. So 20% to 22% for the longer term. But we will see a little bit lower rate this year based on those onetime items.
Operator: Your next question comes from the line of Josh Pokrzywinski from Morgan Stanley.
Gustavo Gonzalez: This is actually Gustavo Gonzalez on for Josh. So just to go back to the inflation topic, can you sort of frame up the order of magnitude of price cost spread in the first half? And how does that sort of compare to your expectations for the second half?
Brooks Mallard: So for the year, from a price perspective, we expect to be just north of 3%, and that was what it was in Q2 as well, so just north of 3%. Now the comps get a little bit tougher as the volumes went up in the back half of '20, so even though the price percentage year-over-year to saying it's more price dollars. From a overall kind of EBITDA perspective, we're slightly flat, maybe plus or minus 10 bps in terms of the overall EBITDA percentage. But then as I said before on the incremental side that is a little bit of a headwind for the full year. So you can kind of back into the math on that.
Gustavo Gonzalez: And then just one last follow-up. So you're kind of posting pretty solid top line growth this year but then reiterated CapEx. Is this sort of more of a reflection of past investments in capacity or should we expect CapEx to kind of ramp from here?
Brooks Mallard: So just real quick. We've got a lot of great investments that we can make organically. Our organic investments are typically the highest rate of return investments that we can make. It's really just about the timing and the execution and how much stuff you can get through the pipeline. And so that's why in a normalized environment that $100 million, $110 million of CapEx gives us a lot of opportunity for growth CapEx, a lot of opportunity for investment that's going to drive both the top line and the bottom line. And so that's really all it is. It's just kind of a normalized. This is what we can get through the same.
Operator: Your last question comes from the line of Jamie Cook from Crédit Suisse.
Jamie Cook: Most of my questions have been answered. I guess just one, the Power Transmission margins were quite impressive during the quarter. So just any color on the sustainability of that or were there onetimers that sort of help that? And then over what time period do we think we can get Fluid Power margins closer to Power Transmission?
Ivo Jurek: We're quite proud of the execution on Power Transmission. And again, I would suggest that the performance was being deliberate primarily on the volume growth and frankly, the innovation and new products that coming through and showing sort of the results. On the Fluid Power, again, we're reasonably early in the recovery, Jamie. As the market starts going through more fulsome recovery, we anticipate that our margin is going to continue trajectory up and again, taking normal seasonality into account.
Operator: There are no further questions at this time. Presenters you may continue.
Bill Waelke: All right. Thank you everyone as always for your interest. And we look forward to providing you with another update in November.
Operator: This concludes today's conference call. Thank you for participating. You may not disconnect.